Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Michael Kors Holdings, Ltd. F2Q 2013 Conference Call. (Operator instructions.) As a reminder, this conference is being recorded. And now I’d like to turn the conference over to Ms. Christina Lack, Vice President and Treasurer. Please go ahead, ma’am.
Christina Lack: Good morning, and thank you for joining us for our F2Q earnings call. Presenting on today’s call are John Idol, Chairman and Chief Executive Officer who is calling in from Bangkok; and Joe Parsons, Chief Financial Officer and Chief Operating Officer. Before we begin let me remind you that certain statements made on this call may constitute forward-looking statements which are subject to risks and uncertainties that could cause actual results to differ from those that we expect. Those risks and uncertainties are described in today’s press release and in the company’s registration statement on Form F(1) which are available on the company’s website at www.michaelkors.com. Investors should not assume that the statements made during the call will remain operative at a later time, and the company undertakes no obligation to update any information discussed on the call. I will now turn the call over to Michael Kors Chairman and Chief Executive Officer, Mr. John Idol.
John Idol: Thank you, Christina. Good morning. Welcome to our F2Q 2013 earnings call. With me today is Joe Parsons, Chief Financial and Chief Operating Officer. We’ll begin the discussion with a brief overview of the quarter and share with you an update on our strategic growth plans. Joe will then provide a detailed review of our F2Q financial results. Additionally he will provide our outlook for F3Q 2013 and the full year. We are extremely pleased with our F2Q performance across our retail, wholesale and licensing segments throughout North America, Europe, and Asia. Our results reflect the ongoing momentum of the Michael Kors brand and the successful execution of our key growth strategies. Michel Kors’ creative vision and design leadership provides us the ability to maintain a unique position in the marketplace as we continue to expand our presence as a global luxury lifestyle brand. Our performance was driven by continued growth in comparable store sales, strong performance of our new stores, successful conversion to shop-in-shops in department stores, and advances in our international expansion strategy as we continued to build brand awareness. We have a talented management team, strong infrastructure and a healthy balance sheet that will enable us to successfully execute our strategic growth initiatives. During the quarter we continued to advance on our six key growth initiatives. First, in North America our 45% comparable store sales increase represents the 26th quarter of consecutive growth in this region. Second, our retail expansion efforts continued in North America with ten new stores opening in the quarter. Third, we continued to convert North American wholesale department store doors into branded shop-in-shops. Fourth, our presence in Europe expanded with additional retail and wholesale door openings. Fifth, we continued to develop our business in Japan; and sixth, we continue to build a foundation for growth in other areas of the Far East through regional licenses. I would now like to review a few financial highlights for our F2Q and then discuss our segments, our operations by region, and finally our expansion in the Far East through our regional licenses. Full revenue in the quarter grew 74% to $533 million, driven by strong performance in all segments of our luxury business. On a combined basis accessories, footwear, watches, jewelry, eyewear and related products comprised 79% of our product mix in F2Q. Our higher mix of accessories category is unique among American designer luxury brands. Gross margin expanded 200 basis points to 59% for the quarter, driven primarily by lower markdowns as our luxury products continued to generate strong sell troughs. Our income from operations grew 126% to $158 million for F2Q compared to the same period last year. Last year’s F2Q results were adjusted for stock compensation expenses associated with our private placement. Turning to our segment results, retail net sales grew 82% to $242 million and comparable store sales increased 45% globally. This comp strength illustrates our brand power, compelling merchandise assortments and an exceptional jet set store experience. Retail sales growth was also driven by 66 store openings since F2Q last year including 16 openings during F2Q. We ended the quarter with 2569 company-owned global retail stores including concessions. Wholesale net sales increased 75% to $271 million in F2Q. Our product assortment continues to perform very well for our department store and specialty store customers, while our conversion to shop-in-shops in department stores provides a significant lift to sales. In our accessories categories we saw similar or greater comparable store sales increases as compared to our retail stores. Both our footwear and women’s wear lines continued to show strong performance during the quarter and these categories are well positioned to shine this holiday season with our Star Power collection featuring luxury jewel tones, gorgeous fabrics, and gilded accessories. Our licensing revenues increased 13% to $20 million and grew 31% on a year-to-date basis, primarily driven by the continued strength in watches. F2Q was the one-year mark for our jewelry business and we are very pleased with the performance of this new product category in our stores and in wholesale. Jewelry represents a significant growth opportunity globally and we look forward to expanding this category. Additionally, our eyewear business continued to perform well this quarter and we believe this category also has great potential for future growth. For our operations by region, in North America revenues increased 72% to $471 million and comparable store sales increased 45%. We opened ten stores during the quarter and ended the quarter with 214 locations. As I mentioned earlier, we continued to convert department store locations into branded shop-in-shops resulting in a significant increase in sales volume per door. Europe continues to show strong growth. While we recognize the European economy is weakening, we are benefitting from strong reception to our merchandise offering and increased brand awareness as demonstrated by our revenue increase of 97% to $57 million and a comparable store sales increase of 50%. We opened four stores during the quarter and ended the quarter with 34 retail locations. Distribution in our wholesale segment continued to expand, primarily through specialty store doors where sell throughs remain very strong. In Japan, revenues increased 129% to $5 million with comparable store sales up 17%. We opened two stores in Japan during F2Q and ended the quarter with 21 locations. We continue to focus on developing our brand in this region. The Japanese marketplace will be a strong contributor to revenue and net income in the future. Our brand is also expanding into regions of the Far East outside of Japan through regional partnerships. In Korea, our most established market, we have 40 Michael Kors retail stores including concessions. We also have licenses in Southeast Asia, primarily Singapore, Malaysia and the Philippines where there are ten Michael Kors stores including concessions. In greater China our licensee operates ten Michael Kors retail stores including concessions. While it will take time to establish our brand in these regions we believe that the Far East represents a meaningful growth opportunity for the company. We are making great strides in expanding our brand with licensees in other countries. Through our licensing partners we have 80 additional Michael Kors retail stores including concessions worldwide, including North America, Europe, the Middle East, Japan, Korea, Southeast Asia and China. There were 349 Michael Kors stores at the end of F2Q worldwide. In addition to our freestanding store growth, our travel retail business is developing rapidly as tourists worldwide are finding our merchandise at shops in the finest airports in the world. Including freestanding stores, shop-in-shops, and stores operated through our licensing partners there is a potential for 50 airport and duty-free shops worldwide. Looking forward, the global luxury market is expected to maintain a healthy pace of growth and we are in a great position to capitalize on the opportunity as an international jet set luxury lifestyle brand. I would now like to discuss growth opportunities for each region starting with North America. We expect to drive double digit comp store sales growth and an introduction of new luxury merchandise led by Michael’s Runway Inspiration and continue to deliver our superior jet set in-store customer experience. We are on track to open 40 to 50 stores this fiscal year and believe there is potential for 400 locations in this region. In our wholesale business we will continue to increase sales through the ongoing conversion of department store doors to shop-in-shops and increased comp store sales. In Europe we will continue to build upon our momentum as a uniquely positioned pan-European luxury accessories brand. Through our advertising, public relations and social media activities as well as expansion of our retail and wholesale presence we continue to capture additional market share in the European accessories, footwear, watch and apparel markets. We remain on track to open 10 to 15 retail stores annually. In addition, as we continue to gain brand recognition we see significant opportunity to expand our wholesale business in Europe. Long term we believe this region can support 100 retail stores (inaudible) and wholesale doors. Japan is a key market for us and we’re taking a long-term view of the development of this region. As one of the most important luxury markets in the world, we believe that the Michael Kors brand will resonate with the Japanese fashion consumer. We are on track to open ten locations this fiscal year and believe that this market can ultimately support 100 retail stores including concessions. Lastly, I would like to take a moment to express our sympathy to those that have been impacted by the devastating effects of Hurricane Sandy. Our thoughts are with them as they continue to rebuild their homes, businesses and communities. While remaining mindful of many personal challenges faced by all involved we are focused on returning to normal operations. We experienced disruptions in 55 of our highly-productive stores on the East Coast, many of which reopened the next day and all of which were reopened on a staggered schedule over the course of the week. Today, many areas of the Northeast remain challenged. It is difficult to predict when customer behavior in the affected areas will return to normal trends and what the lingering effects of the stores may have on sales performance in our F3Q and F4Q. Overall, demand for Michael Kors products worldwide remains very strong. We are well positioned to fully capitalize on the important holiday season with compelling products and a highly motivated sales team in our stores and shop-in-shops globally. Now I will turn the call over to Joe Parsons for additional analysis of our quarterly results.
Joe Parsons: Thank you, John, good morning. I will begin with a review of our F2Q 2013 financial results followed by our outlook for F3Q and full year. For F2Q, total revenue grew 74% to $532.9 million as compared to $305.5 million in F2Q last year with strong growth in each of our retail, wholesale, and licensing segments. Retail net sales increased 82% to $242.3 million in the quarter as compared to $133.4 million in F2Q last year, driven by a comp store increase of 45.1% and the opening of 66 stores since F2Q last year. The comp store performance was driven primarily by the strength of the accessories line. Wholesale net sales grew 75% to $270.8 million for F2Q compared to $154.5 million in the same period last year. This growth was again primarily the result of increased sales of our accessories business driven by our unique design and merchandise assortment as we enhance our department and specialty store presence and continue the conversion of department store doors into shop-in-shops as well as expand our European operations. In our licensing segment, revenue grew 13% to $19.9 million for the quarter as compared to $17.6 million last year, primarily driven by the continued strength in watches. Gross profit increased 80% to $315.9 million as compared to $175.1 million in last year’s F2Q. Gross margin expanded 200 basis points to 59.3% driven primarily by lower in-store markdowns, discounts and allowances, as well as a more favorable product mix shift to higher-margin merchandise. Total operating expenses grew 36% to $158.0 million in the quarter. Total operating expenses for F2Q 2012 were $115.8 million and included a $10.7 million charge related to employee share option redemption associated with our private placement. As a percentage of total revenue, total operating expenses decreased to 29.6% from 34.4% in last year’s F2Q, excluding the previously-mentioned charge. SG&A expenses grew 36% to $145.7 million compared to $107.3 million for F2Q last year. The dollar increase was primarily due to increases in our retail occupancy and salary costs as we continued our retail store rollout and incorporated related employee cost including stock compensation. As a percentage of total revenue, SG&A expense decreased to 27.3% compared to 31.6% for F2Q last year, excluding the employee share option redemption charge. The improvement in the SG&A rate was primarily due to the leverage on strong sales. Depreciation and amortization expense was $12.3 million during F2Q as compared to $8.5 million for F2Q last year, primarily due to the build out of new retail locations, new shop-in-shops, and investment in our IT infrastructure to support our growth. As a result of these factors, income from operations was $157.9 million or 29.6% of total revenue. Income from operations was $59.3 million for F2Q last year. Excluding the aforementioned share option charge, income from operations as adjusted was $70.0 million or 22.9% as a percentage of total revenue for F2Q 2012. Income taxes were $59.8 million in F2Q as compared to $21.9 million for F2Q last year. Our effective income tax rate was 37.9% compared to 35.1% for the same period last year. The increase in our effective tax rate resulted primarily due to an increase in taxable income in certain non-US subsidiaries during F2Q this year. Net income increased 141% to $97.8 million for F2Q as compared to $40.6 million for F2Q last year. Diluted earnings per share were $0.49 based upon 200.2 million weighted average shares outstanding. Net income for F2Q 2012 was $40.6 million or $0.22 per diluted share based on 187.6 million weighted average diluted shares outstanding. Excluding the aforementioned share option charge, net income as adjusted was $47.5 million or $0.25 per diluted share. Turning to the balance sheet, at September 29, cash and cash equivalents net of $11.6 million of borrowings under our credit facility, were $300.6 million. This cash balance includes approximately $118 million of stock option proceeds related to the recent secondary offering which was paid out in the subsequent quarter. At the end of F2Q last year cash and cash equivalents net of $16.2 million of borrowings were $3.1 million. Inventories totaled $278.4 million as compared to $146.7 million last year. As we discussed last quarter we will continue to see inventory growth outpace sales as we expand our retail and wholesale businesses, grow our replenishment business for basic merchandise and broaden our production schedules. Capital expenditures for F2Q 2013 totaled $25.5 million. The majority of these expenditures related to new store openings with the remainder being used for investments in connection with building new shop-in-shops and enhancing our information systems infrastructure. We opened 16 new stores in the quarter – ten in North America, four in Europe and two in Japan – and ended the quarter with 269 retail stores including concessions. Turning to our outlook, for F3Q 2013 we expect total revenues to be between $525 million and $535 million assuming a mid-20% comp store sales increase. We expect diluted earnings per share to be in the range of $0.37 to $0.39 assuming a tax rate of 38% and 202 million shares outstanding. For F2013, total revenue for the year is now expected to be between $1.86 billion and $1.96 billion. This reflects a comp store sales increase of approximately 30%. We now expect diluted earnings per share for F2013 in the range of $1.48 to $1.50 per share based upon an estimated tax rate of 38% and 201.2 million weighted average shares outstanding. We continue to expect gross margin to be slightly lower in the second half of the fiscal year as markdown rates are anticipated to normalize. SG&A dollars are expected to grow at a slightly higher rate as compared to F2Q due to increased marketing spend and higher occupancy and salary costs as we continue the build out of new retail stores and shop-in-shops and increase our corporate staff to accommodate our global growth. Capital expenditures are expected to total approximately $140 million for F2013. The decline from our previous guidance is due to lower-than-expected corporate spend and a shift in CAPEX dollars into the next fiscal year. We are on track to open 70 retail locations in F2013 including approximately 45 in North America, 15 in Europe and ten in Japan. In addition, our conversions of accessories stores to shop-in-shops are continuing at an accelerated pace and approximately one-half of our initial target of 1000 doors will be completed this fiscal year. Thank you. I will now turn the call back to John.
John Idol: Thank you, Joe. We are extremely pleased with our current growth trajectory and the significant opportunities that lie ahead for the company. We remain well positioned to continue to build our global luxury lifestyle brand and we have a tremendous opportunity for growth worldwide. Thank you for participating in this call. We will now open the call to questions.
Operator: Thank you. (Operator instructions.) We’ll take our first question from Brian Tunick at JP Morgan.
Brian Tunick – JP Morgan: Thanks, good morning guys and congrats on a great quarter. I guess a question on your comments regarding the storm: I know a lot of people are talking about it here but I mean you guys were already a month into the quarter. So I’m just wondering maybe on the first part if you could talk about maybe how your business was trending in the month before the storm and then maybe talk about what you think are the biggest opportunities either in categories or maybe inventory positioning this holiday versus last year. Thanks very much.
John Idol: Sure, Brian. The first question which I think is twofold: first, how are we trending? And our business was exactly on track for (inaudible) reports in F2Q. So we were really firing on all cylinders and that’s globally so we did not see any change in the business. Obviously I’ll address the second piece, which is we have a number of highly productive stores that are being affected obviously in the Long Island area, in the New Jersey area in particular that we don’t know when those stores are going to return to normal. There’s gas lines we’re aware of, and I think there’s also a psychological effect on the people in the immediate New York metro area where their homes have been affected. So I think until people recover from some of this startling situation we want to be cautious about what’s going to happen in that region, and again, I can’t just sit here… We just don’t know when that will return and what the effect for the overall business is. But beyond that region business is very strong everywhere in the US, Canada, Europe, and Japan so we’re pleased with kind of our setup for the holiday season. In terms of categories, we’re very excited about a few different things. First off we want to continue to emphasize that our watch business is very strong for us, and you know, it’s a significant part of our retail business in our own retail stores. So that trend continues to be performing well for us and that’s usually a very strong category for us during the holiday season. Secondly small leather goods, as you know we’ve been putting greater emphasis on that category and building that out to a greater percentage of our overall sales inside of our stores; and we’re reaching penetration levels that [weren’t] anticipated. I think if you go into our stores you’ll see we’re putting more emphasis on the category – everything from our feature tables when you walk into the stores to actually showing the SLGs in their own contained areas but also cross-merchandising them on the handbag wall where we’re getting excellent multiple sales with our strong service and our upselling program to the consumer. And then lastly I would say it’s really the item business. We’ve got a very, very strong penetration with totes in our stores. That’s become really a go-to item for young girls which has also added to our UPTs in our stores because she’s not only buying handbag from us but many times she’s buying a handbag and a tote which really has boded well for us. So we’re in a great inventory position in our key items. We think we’ve got the right merchandise in terms of the trends which I think we’ve been very good at not only being on trend but also leading trend. So we see a very bright Christmas ahead of us.
Operator: Thank you. We’ll go next to Kimberly Greenberger of Morgan Stanley.
Kimberly Greenberger – Morgan Stanley: Great, thanks. Good morning and congratulations on a great quarter. John, I’m wondering if you can talk to us about some of the comp drivers in the quarter. You had indicated previously that incoming traffic into the stores has been the number one comp driver. Did that hold up? And then if you could just share with us the percentage of sales that you generate in the hurricane-impacted areas? That would be really helpful. And lastly, in terms of the expectation that markdown rates will begin to normalize, are you seeing any evidence here so far this quarter that markdown rates are in fact starting to normalize; or is that just an expectation of what might happen in the future? Thanks so much.
John Idol: Sure. Let me go with the last question first which is the markdown rates because that’s the easiest one. We have not seen that happen yet. We are anticipating that we keep saying on each call that at a point it’s going to happen. We don’t know when that point is but we have not seen that happen so far in the first [month of selling in this quarter]. So but again, we’re up against big comps from last year at this period of time, we have big inventory positions so we have to be prudent in our thought process. Again, if the consumer responds in the way that she has been to date then obviously the results will be potentially improved from what we’ve given guidance on – and that’s really what’s happened in the last few quarters, is we’ve continued to do better than what we had internally planned for. And you now, that’s how we’ve operated our business since we’ve been public. So that’s the first question. I’ll go to the drivers. Traffic has maintained its same pace for us. We have not seen any change in traffic both domestically and internationally so we’re really pleased with that, so that’s really been the number one continuing to… Traffic doesn’t pace at the same level as comp does just so you’re aware, so you really take the traffic increase that we had which has run kind of in the mid-30’s for us, which is really an extraordinary number in terms of trafficking; and then you put that on to conversion where our conversion rates are up very nicely in our stores. And then the other thing that’s happened to us is our UPTs are up, so our average transaction size is increasing slightly. It’s not large but it’s a nice number. So all of a sudden you put those three together and that’s really how you get to the comp, but the main driver is continuing to be traffic and so we haven’t seen any change in that. And lastly, the hurricane-effected stores – it’s really too early to tell that, because if you would have taken the 55 stores that were initially closed you would have obviously been highly concerned. But it’s come down considerably. The markets again as you know are New York and New Jersey. New York City seems to be rebounding very quickly, and by the way, these concerns that we have are not only for our own freestanding stores – you have to remember our department store partners operate in these regions as well. So we’ve seen an effect in those department stores that are located in again the New Jersey and Long Island area in particular. So we really can’t ascertain what the percentage of it is, but what I’m really pleased to report is that the New York City business is excellent. So again, that’s a huge percentage of this operating area.
Kimberly Greenberger – Morgan Stanley: Great, thanks so much.
Operator: Thank you. We’ll go next to Randy Konik with Jefferies.
Randy Konik – Jefferies & Co.: Yeah, thanks a lot, just a couple questions. First, you gave the number of the accessories percent of total – I think it was 79% and last quarter it was 79% but it rose on a year-over-year basis. Can you just give us just your thoughts on where do we see that number trending over the next few years? And then my next question is regarding your licensing piece of the revenues, we had Fossil report a week or two ago and talk about some push out in orders and so forth, so can you give us your additional color on how you see the watch category from your standpoint – not just for the brand but in general? And then lastly, can you just give us an update on how you’re thinking about the long-term outlet strategy from a channel distribution standpoint? Thanks, I appreciate it.
John Idol: Again, this is really a little bit more of our dream than the accurate percentage, but we would like the accessories business to represent 85% of our total sales on a going forward basis. That will just naturally happen as we’ve talked about in the past as we open more of our own lifestyle stores where that percentage is more or less there today, that the overall company’s sales will trend towards that area. And of course you know, that’s something that we like because it’s higher margin for the company. Secondly, we think that retail, even though today retail and wholesale are very similar in size, retail long term will become in our estimation 75% of the business. And again, our wholesale business has just tracked much faster than we had anticipated, A.) because of the shop-in-shop installations, and B.) because our comp store performance as we indicated on the call is running at or in many cases higher than what we were reporting in our own freestanding stores. So those two factors are keeping the wholesale business slightly larger than we had anticipated at this point in time. The second question regarding… Let me first start by saying we have not seen any… I saw one analyst wrote something about the potential of orders being pushed back. We have not seen that at all. Again, our sell throughs are excellent. We typically have the opposite problem where our partners are asking us for more inventory more quickly, so we don’t see that going on and I have not seen that for our part of the business at Fossil either. Again, our watch sales continue to be the number one performing brand in almost every department store in the United States. We’re reaching similar penetrations in Europe where we’re becoming the #1, #2, or #3 brand in stores there. And I also might add that there’s very encouraging news in Japan: we’ve seen some excellent performance on watches and we’re reaching similar rates of sales there in terms of achievement performance versus our competitors. And that really sends a good signal to us because that was one of the lead things that really helped drive our brand awareness in the United States and also in Europe, is the development of the watch business. So we feel good about that category and of course we talked about jewelry – an excellent start to that business both domestically and internationally. We’ve begun to launch the jewelry in certain stores in Europe and the results are really better than we had anticipated. So all that bodes well for us. The last question in terms of outlets, we’ve said it before: outlet for us is typically going to be 1 to 3. We use the outlet to return merchandise for our own freestanding stores and then we do make for the outlets as well, but our core focus is on our full price stores. We’re fairly neutral to the development because we are so profitable in our own freestanding stores so we don’t see the need to over-develop that channel given the profitability of our full price stores; and obviously the comps that we’re achieving in our full price stores.
Randy Konik – Jefferies & Co.: Thanks, John.
Operator: Thank you. We’ll go next to Erinn Murphy with Piper Jaffray.
Erinn Murphy – Piper Jaffray: Great, thank you, and let me add my congratulations on a fantastic quarter. John, I was just hoping maybe you could speak a little bit more on the role of social media and the role that it’s played in really driving that customer awareness and the acquisition process. How quickly do you see the return on investments that you make in this channel? And then along that same vein I was just curious if you can talk about the recent hire on your Board of Directors, Judy Gibbons. It just seems that that’s a very complementary fit given her background in ecommerce and digital media. Maybe talk about the process there for longer-term growth in ecommerce both domestically and abroad. Thank you very much.
John Idol: Sure. So social media, as you’re aware, is obviously a very hot button in marketing today. We are right at about, I think we told you this during the IPO, we’ve really frozen our print budget domestically for sure; and internationally the print budget is growing but we really see that as being 50% or less of our marketing dollars and our communication. There’s obviously a very big push on the social media side and we think we are doing a very good job at that. We have over approximately 1 million people following us on Twitter today and I think we are either #2 or #3 on Twitter in terms of a designer followed, which is really amazing that we look back almost two years ago and I think we could have been at zero – I don’t remember the exact number but it was pretty low. We’re a little over 2 million fans on Facebook. We anticipate being able to get that number to well over 5 million by this time next year, and the good news is that we know that’s building brand awareness for us both domestically and internationally. In particular, as you know, Facebook – I think about 40% of the people that are on Facebook are outside the United States, 40% to 50%. So we like that because it helps drive our international brand awareness. And what we’re working on very carefully with all this, because social media is wonderful but you have to figure out how to get that to convert to actual sales both in your stores and online. We’re working very closely with Facebook; I think they’ve announced it a few different times publicly, that we are one of their closest [beta] partners on a number of different projects. And so we see a bright future with them and with the development of certain other social media platforms to help drive traffic to our stores and drive traffic to our website. Obviously we can very quantitatively find the development on our website. Secondly, I’ll go the website – we’ll be making an announcement this week that we have hired a very senior individual to join the company to help our ecommerce global rollout. And that person will be reporting to Jaryn Bloom, the President of our Retail Business, and that really completes the 3600 experience for our customer. We want them to really have a great visual experience with us online; we want them to have a great experience with us in-store and then we want to be able to communicate with them and be able to obviously send them information about new products that arriving in the store, be able to thank them for being a customer of us. And there’s a lot of different ways we can communicate with them with our ecommerce platform, and you’ll see a complete redesign of our website that’ll be starting in the spring of next year. Again, so there’s a lot in the works there. And lastly, yes, Judy was brought onto the Board for her experience. She is really a talented individual. As you probably saw from her résumé she’s had experience in some of the most impressive technology companies in the world. We specifically wanted to have a Board member who had that background so that they could give us a lot of insight into investments that other companies had made, developments and successes and failures so that we can learn from that. So Judy’s a wonderful addition and we’re proud to have her as a member of the Board of Directors of Michael Kors.
Erinn Murphy – Piper Jaffray: Thank you, guys. Best of luck.
Operator: Thank you. We’ll go next to Paul Lejuez with Nomura.
Paul Lejuez – Nomura Holdings: Hey, thanks guys. Can you talk about the comp performance in malls versus outlets, and can you just remind us how many outlet stores you have today, how many openings this year will be in that channel? And also if you can maybe talk about which price strata of handbags are growing the fastest, and then last, John, anything you’re not happy with in the business today? Thanks.
John Idol: The first question was about comp for outlet versus full-price, and just (inaudible), we don’t… Again, the good news is our full price stores are performing as we said before very similar to our outlet stores, and sales per foot is very, very similar. And I think you all can probably calculate, we don’t put it out there but you can get a pretty good idea of the sales productivities that we’re running at on a global basis. And we’re very proud of the fact that we are running very close to some of the most prestigious luxury companies in the world in terms of productivity. So we think that bodes well for us, and our [full price] store sales growth for us is the engine for the company. To remind everyone, it’s not going to continue at these kinds of paces. We just [haven’t done] guidance for that or for us to plan internally for us to be at that basis. In terms of the number of outlet stores that we have today, Joe, do you want to just read that number off?
Joe Parsons: Yeah, worldwide we have 89 outlets today.
Paul Lejuez – Nomura Holdings: How about in the US, Joe?
Joe Parsons: In the US we have 67.
John Idol: Okay. And then the price strategy – for us in the handbag category, I would say it’s the $300 to $350 [strata] that is really driving the largest amount of sales for the company. We do have some tote businesses that are in that $250 range, $225 range which has been quite strong for the company as well, but predominantly for handbags we seem to do our greatest volumes in that price point. Our customer I think really appreciates the quality that we put into our product. We don’t have as high gross margins as some of our other competitors and we understand. We believe that quality is first and we believe that there’s a lot of quality in our product – the leathers we use, the hardware that we use – and we’re always wanting to design the best product first. And we think that the customer appreciates that. I think you see that same thing whether it’s in our watches or it’s in our small leather goods or footwear, or women’s ready-to-wear. Interestingly enough, in women’s ready-to-wear we’re putting more quality into the product. We’re trying to take the brand really up to an even higher level, and what’s interesting is the customer is responding. Where we thought before there were certain price limitations again, you can’t be completely (inaudible) to that but the customer is really responding to quality and obviously design first and foremost in that. Did I miss any of your questions?
Paul Lejuez – Nomura Holdings: The last one, John, was just if there’s anything in the business that you’re not happy with right now.
John Idol: I’ve said to you guys before I think we are one of the best companies in the industry in terms of design. I think Michael’s leadership is extraordinary, his vision and our Design Team’s. I think our selling in our stores is best-in-class in the industry. I think our store design is best-in-class. What I’m not happy with is our ecommerce business. We are [not] where we should be. We really need to be on a global platform given the size, the scale of our company worldwide and what this represents as an opportunity. So we’re behind on that category. We’re making the right moves, obviously hiring Judy – we’re going to make our announcement later this week on a very senior individual who is joining the company to run ecommerce. And then we’ll be announcing probably sometime in the spring season about when ecommerce will come back in-house and along with that we’ll have a global schedule that we’ll be discussing. So many of our competitors are well ahead of us on that and I believe the opportunity is much greater than what I had originally estimated. We’re seeing certain retailers today that we do business with, our partners, who are running between 10% and 20% of their sales online, both their own company and then of course Michael Kors sales. So you take a look at those numbers and then our retail numbers and it really warrants a very significant potential long-term opportunity for the company.
Paul Lejuez – Nomura Holdings: Great, thanks a lot. Good luck.
Operator: Thank you. We’ll go next to Omar Saad with ISI Group.
Omar Saad – ISI Group: Thanks, good morning, John. I’m hoping you could maybe discuss a little bit what you’re seeing out there in the competitive landscape. The obvious success that you guys are having, is that having an impact? Are you seeing a response from some of the other companies out there or are you of the view that there’s kind of plenty of room for everybody given the strength of the category, not just in North America but globally? I’d love your thoughts, thanks.
John Idol: Sure. Well, I think the first piece of news again, and I know you guys clearly follow a couple of our big competitors who are domestic here – and obviously we don’t view those as being our only competitors; there’s obviously international luxury competitors who are for us equally important. The accessories business is growing. Whether it’s in the US retail channel, whether it’s in the US department store channel, whether it’s in the European channels – it continues to be one of the best performing categories for luxury companies and for department stores or luxury department stores. So you can see the different data that comes out about the growth of luxury and we believe that data is pointing to the fact that actually the accessories category is growing faster than other categories inside of luxury. So we think there’s plenty of room for us to grow. We’ve seen certain people do certain things promotionally and we’ve opted not to participate in that, and we think that sends the wrong message to our customer. We’ve said to you before that we are building this on a luxury platform and to start doing those kinds of things really I think sends the wrong message to the consumer about your brand. So we see this category as still maintaining and growing, and in particular we’re so excited about what’s happening in Europe. You can see the numbers, they’re just outstanding. And Michael Kors, I think by this time next year we anticipate being the number one accessible luxury handbag company in Europe. And to really get there from four years ago is quite an extraordinary feat. And we’re expecting similar things from out watch business where today, we believe Michael Kors will be the number one selling designer watch brand in the world. As you know, Fossil’s reported its shipments but we think we’re going to potentially do almost $1 billion of retail in watches on a global basis. So that’s an incredible number and that leads the way for us in other marketplaces for our other categories of business to develop.
Operator: Thank you. We’ll go next to Joan Payson with Barclays.
Joan Payson – Barclays : Hi, good morning and congratulations. I guess first off to talk a little more about the European business. As you’ve been building that out, which markets are you most highly concentrated in right now and which markets are you more focused on developing?
John Idol: The good news for us so far, let me just start by saying that the business in Europe has been balanced in terms of the consumer response. So a lot of times American companies go to Europe and they have a good response in the UK and then they don’t have a very good response in Germany or in other markets. So we’ve really seen the response, whether it be Spain believe it or not, even with the very difficult economy there we’re running strong comp store sales, not only in our own stores but we have a number of concessions in [El Corte Engles]. And the area where we are the least developed in Europe is Italy where we only have one store that’s actually a license of a collection store. So that’s an area where we see a big opportunity for us and we can grow. And again, I know many times people are concerned about the environment in some of these marketplaces. The market share is still there to be taken and we think we’re positioned really in the right way for that. So the net conclusion is we’re feeling very good about the brand all across the marketplace and there’s plenty of opportunity for us to grow.
Operator: Thank you. We’ll go next to Blair Pearson with Robert W Baird.
Blair Pearson – Robert W Baird: Hi, thank you for taking my questions; a couple of quick ones. First on the shop-in-shops, you mentioned 1000 potential for accessories. Have you started to plan or quantify the potential for footwear and apparel shops, and can you update us on how many of those you have today?
John Idol: Sure. Joe, you have the number there, correct? We really haven’t gone through and talked specifically about how many apparel and footwear shops we have, but let me just say to you that apparel will ultimately have the potential to be in the same amount of shops that we have with handbags. So ultimately we think we can have 1000 shops with accessories; we think we can ultimately have 1000 shops with women’s ready-to-wear. I think I mentioned to you during the recent secondary that our women’s ready-to-wear business has gotten very healthy. We’re one of the best performing women’s ready-to-wear brands in the department stores, and again, that’s the predominant piece of our ready-to-wear business is in the department store category; and then of course specialty stores inside of Europe. The footwear shop-in-shop situation, we only have a handful – I think it’s ten – but you’re probably aware we opened up a new footwear shop at Macy’s in Harold Square and the results are extraordinary. And so we really didn’t know what that would mean for us but we’re certainly having some very serious discussions with a number of department store partners, both domestically and internationally given the success of what we’ve seen happen there about the potential for those shops. So I think we can report maybe in the next six months a little bit more of what the development is and the potential of those as opportunities for us.
Blair Pearson – Robert W Baird: Okay, thank you. And then just lastly on fragrance, I don’t think you’ve talked about that a lot but you had a competitor recently discussing a push into that area. Do you have any updated thoughts on the opportunity there or what your plans are?
John Idol: Yeah, the question was asked before – I apologize, when the question was asked what we’re disappointed about I should have added fragrance to that. We do not have a developed fragrance business. We have a great partner which is Estee Lauder but we have a very underdeveloped fragrance business. We have some pretty significant plans with Estee Lauder to make a very major push into that category next fall season. We’ll be making some public announcements about that on the next conference call, but you can be assured that given the size of our company that’s a very big potential opportunity for us – and of course we have not factored that growth into any of our projections. As we’ve told you in the past we view that as if it happens it’s going to be excellent upside.
Operator: Thank you. We’ll go next to Oliver Chen with Citi.
Oliver Chen – Citi : Hi guys, thanks a lot. Regarding the comp and the evolution of your guidance, it sounds like the traffic was up mid-30’s and the conversion is up and UPT is up. So what’s the difference in terms of your outlook for the mid-20’s versus the comp that you just posted of 45.1? Secondly, can you speak to your thoughts on the watch mix evolution as a percentage of total? Do you expect that to hold year-over-year similarly? And lastly, if you can give us from a bigger picture perspective on what’s happening – are you getting new customers to the table with watches or is she or he buying multiples?
John Idol: Sure, okay, let me start on the comp question. When you’re coming off of a 45% comp and 40% comps, whatever – high 30%’s comps – we’ve told you before we just can’t plan a business that way. We’re able to react because of certain relationships we have with our manufacturers or certain partners who are supporting us in certain businesses, so we have the capability of over performing to the comp that we are giving guidance on. But that is our internal plan, and as we said earlier, it’s not prudent to all of a sudden plan that we’re going to continue to run 45% comps. And then the only other issue is that we’re going up against some very large comps as we start heading into especially F3Q. The numbers are just bigger in terms of raw dollars and not just percentage. So really those are the two driving factors. We want to plan prudently internally, and by the way, we’re very proud to plan at mid-20%’s comps. We think that’s still best-in-class. I don’t think there’s many even luxury retailers who are forecasting guidance at that level. And secondly, we think that we’re going up against just bigger dollars, so that in and of itself is an issue that we need to be mindful of. The watch mix will probably decline slightly as a percent to our total in the stores, and that’s really mainly because the handbag and small leather goods is growing at a faster pace than the watches are. We’ve told you the SLGs, small leather goods at our stores is growing in triple digits so that’s just in and of itself going to take up percentage. Our handbag business is really getting stronger this quarter and you can see that through our department stores comps and whatnot. So that is going to push it down but it’s not a significant number. And as we told you, we had anticipated jewelry to get to 5% of our overall store sales within two to three years – we’re almost there today. So that category just came on so much stronger than we had anticipated. The watch mix, we really get two types of customers in watches. The first customer is the loyal customer, and she really accumulates watches. She comes in and she might start with a gold one-way and then she might come back for rose gold, and then she might come back and acquire a stainless one-way watch; or she might move on to the new Camille watch which has been an excellent performer for us in our wholesale and in our own freestanding stores. So we know she owns in many cases as many as three Michael Kors watches. That’s the one category of business, and then I think you’ve probably seen some data out there that Michael Kors is very much on the wish list for special young girls; and what’s great for us is our younger category of customer continues to grow. And she definitely enters us typically through a watch or through a small leather good – typically not through a handbag because just the price of it. And it’s a little more young feeling with the watch and the small leather goods. That’s one of the great things about our watch business, is we think it continues to bring and help us acquire new Michael Kors customers, not only domestically but internationally. I was in Germany recently and we have a very, very strong business with a company called [Krist] and in many months there, we’re easily the number two or in some weeks we’ve actually been the number one performing watch brand in the company. And again, German customers are finding us actually through the watches even before they find us through the accessories – so a great lead in for us. And we know also when fragrance comes on, that’s going to even further impact our brand awareness. You know, you look at the success that we’ve achieved in brand awareness without a fragrance, it’s really extraordinary because many companies have huge brand awareness and it’s based upon fragrance – it’s not even the points of distribution that they might have in their core product.
Operator: Thank you. Our last question today will come from Corinna Freedman with Wedbush Securities.
Corinna Freedman – Wedbush Securities: Thanks for taking my call. A quick question on the retail store openings for the second half: can you tell us how that will flow for F3Q and F4Q, and if you can give us an update on any unique to holiday marketing that you’re planning and an update on men’s and other categories? Thanks.
John Idol: Okay. First, we don’t typically guide with the store openings by quarter, and the reason for that is because many times construction projects move or quite frankly we might accelerate a project. So both in the shop-in-shops and the store breakdowns we don’t guide by quarter, so that’s the first answer I’m going to go to men’s second. It’s very interesting – we have a men’s sportswear business and a men’s tailored clothing business. And the men’s business for us in the United States between licensed products and our own company-owned is over $100 million. So we have an acceptance to men’s sportswear and tailored clothing, and shirts and ties. We are rolling that out in Europe as we speak – very slowly, very quietly, not with a major push but we’re finding great reception to our men’s sportswear. So what happened is we started to introduce the men’s leather products, so and you can see that down at Macy’s Harold Square and at some of our flagship stores in America and internationally. And initial feedback on that product has been very good. So again, we don’t view this as any major growth opportunity today but we do think that in the future you can definitely look at luxury goods companies and their percentage of men’s products, and you can without question count on the fact that over the next few years that will be a business that we will enter and be deep with. Lastly in terms of holiday marketing, again, we are very driven first and foremost by paid search in terms of our website – excellent results from that. Secondly is our email blasts to our customer which have strong returns both on our website but even more importantly to our own freestanding stores. And then lastly we have a very strong catalog business. Many of our competitors have either exited that business or never really went into it in a strong way; we literally send millions of catalogs a year and we think that’s been a key push for our consumer. We can see what it does in terms of our in-store performance when we drop catalogs – we get a very strong spike. We also get a very strong spike to our website, and we also think that it really delivers the message that Michael Kors is the fashion resource for many Americans and Europeans and Japanese. So people can keep that catalog at home or they actually come into the store with it, shopping with product, and that’s been a strong driver for us and we’re going to use that again very successfully during the holiday season.
Operator: And now at this time I’d like to turn the call back over to John for any additional or closing remarks.
John Idol: I’d like to thank you all for being with us on this call today. Again, I want to reiterate Michael Kors is one of the very unique luxury lifestyle brands that has the ability to have significant growth in the future, and we believe we’re doing a very strong job of executing both in North America and now in Europe, and the beginnings of growth in Japan. So we look forward to sharing additional information with you on our future conference calls. Thank you very much.
Operator: Again, ladies and gentlemen, thank you for your participation. This will conclude today’s conference call.